Unidentified Company Representative: …. [Call starts abruptly] Burns, the Company's Chief Financial Officer. A press release detailing these results crossed the wires this afternoon at 4:10 P.M. Eastern today and is available on the Company's website idealpower.com. Before we begin the formal presentation, I'd like to remind everyone that statements made on the call and webcast including those regarding future financial results and industry prospects are forward-looking, and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the Company's SEC filings for a list of associated risks, and we would also refer you to the Company's website for more supporting industry information. At this time, I'd like to turn the call over to Ideal Power's Chief Executive Officer, Dr. Lon Bell. Lon, the floor is yours.
Lon Bell: Thank you, Chris, and welcome everyone to our second quarter 2019 business update and results conference call. In April, we announced an asset purchase agreement to sell our PPSA business to PATHION. In June, we filed a lawsuit against PATHION and certain of their officers asserting that PATHION breached the asset purchase agreement between the parties as well as related sub lease [ph] agreement due to their failure to pay any cash amount due under these arrangement. The lawsuit also assert that certain officers of PATHION misrepresented PATHION's financial position and its stock validity. In response, in July, PATHION filed a general denial to our lawsuit and a counterclaim. We do not believe PATHION's counterclaim counts merit. As this is an ongoing legal proceeding, we cannot provide any more information on this matter at this time. Due to the regard in the energy storage of micro-grid market for our PPSA design and the comprehensive coverage of our PPSA patent portfolio, other strong companies are showing interest in acquiring our PPSA asset. Confidentiality agreement now in place prevent further comment on sale. We expect to provide an update via press release in the next 45 days. Given the progress with our B-TRAN technology, which we will cover more detail later, the Board of Directors unanimously decided to effect a [indiscernible] reverse stock split of our outstanding common stock in order to maintain our NASDAQ listing. The company's common stock will begin trading on the NASDAQ capital market on a split-adjusted basis when the market opens on August 20, 2019 and will continue to trade under the symbol IPWR. We strongly believe maintaining this listing status will enable the company to engage strategic partners and investors from a position of strength. Turning to our B-TRAN operations, the second quarter of 2019 was a continuation of our new strategic focus on our proprietary B-TRAN power switch technology. B-TRAN has the potential to address the $12 billion power switch market. During the quarter, we fabricated and tested double-sided B-TRAN wafers that validated the three critical performance metrics of: one, symmetric bi-directionality; two, low conduction losses; and three, the necessary breakdown voltage required for B-TRAN use in a broad range of commercial and military applications. These markets include renewable energy, robotics, energy storage, datacenters, electric vehicle, electric vehicle infrastructure, [indiscernible], battery-powered applications and powering 5G. We confirmed our B-TRAN design is manufacturable with conventional silicon processing equipment. Dan Brdar, our B-TRAN Chief Commercial Officer will provide an update on these exciting development. Dan?
Dan Brdar: Thank you, Lon. I would like to start out with an overview of our recent progress on our proprietary and broadly patented B-TRAN technology. In early January, we announced that the company will concentrate its near-term activities and resources on five main areas of focus. One, advance the development of our bidirectional bipolar junction transistor, solid-state switch technology. Two, fabricate second-generation dies at a commercial domestic foundry. Three, provide packaged engineering samples for early adopters. Four, pursue government funding for device development and specific B-TRAN based demonstration projects, and five, pursue strategic customer and partner relationships to accelerate commercialization. During the second quarter, we completed successful testing on the second-generation design of our double-sided B-TRAN wafers. Our wafer testing provided repeatable test results to form the basis for the next generation design. Test results confirm the following critical performance metrics: successful bidirectional operation with symmetrical performance in both directions, forward voltage drop for our B-TRAN dies was measured at .2 to .3 volts consistent with our simulations. This value is substantially lower than the corresponding junction voltage drop of approximately 0.9 volts for an IGBT die. And measured breakdown voltages were up to 1,200 volts, the characteristic required for many commercial, industrial and military applications such as electric vehicles, renewable energy, industrial automation and data centers. These results are incorporated into our current wafer fabrication runs at two independent semiconductor fabrication facilities. In addition, we were able to evaluate several different die layouts designed to enhance manufacturability and performance. These changes will enable us to have a simplified wafer layout that should lead to higher yield, lead to shorter fabrication runs, provide packaged engineering samples for early adopters and pursue strategic customer and partner relationships to accelerate commercialization. B-TRAN dies are being packaged for use with a bidirectional driver to characterize switching performance. Additionally, the initial B-TRAN dies meet the criteria for Ideal Power's engineering prototype sampling program with initial samples expected to be delivered to potential partners in the fourth quarter of 2019. With respect to our B-TRAN patent portfolio, we now have 46 issued B-TRAN patents with 13 of those issued outside the United States. Our geographic coverage now includes China, Japan and Europe. Our B-TRAN patent portfolio also includes 35 patent filings that will enhance our coverage in the U.S., China, Japan and Europe and has the potential to expand our coverage to include Korea and India. In summary, we’ve made significant progress among our commercialization roadmap. We look forward to providing engineering samples for early adopters, strategic customers and partners as we accelerate on our commercial roadmap. I will now turn the floor over to our CFO, Tim Burns, to discuss the financial results. Tim.
Tim Burns: Thank you, Dan. I'll run through the second quarter 2019 financial results. In early January, we announced a strategic shift focused on the commercialization of our proprietary and broadly patented B-TRAN technology. To facilitate that strategic shift and reduce our cash burn rate, at that time we also announced a significant reduction in our power conversion systems division workforce and suspended further PCS development and sales. As such, we reported our PCS division as a discontinued operations in our P&L and as an asset held for sale on our balance sheet. We believe this presentation provides shareholders and potential new investors with greater transparency into the historical results for a go-forward business. I'll focus my review of our financial results primarily on our continuing operations as these operations will drive future changes in shareholder value. Our second quarter of 2019 financial summary is as follows: the company had no revenues from continuing operations in the second quarter of 2019. Our Q2 2019 operating expenses were $0.9 million compared to $1.1 million in Q2 of 2018. The decrease in operating expenses was due to a decrease in our general and administrative expenses impacted by our cost reduction plan, inclusive of reduced headcount, an absence of grants in recent years to tenured executives and lower employee bonus expense partly offset by higher legal fees as in the second quarter of 2018 the results included the recovery of $0.2 million in legal expenses related to the favorable resolution of legal proceedings. Our Q2 2019 net loss was $1.3 million, down from $1.7 million in the second quarter of 2018. Cash used in operating activities for continuing operations was $1.3 million for the six months ended June 30, 2019, compared to $1.9 million in the six months ended June 30 2018. Cash and cash equivalents totaled $1.4 million as of June 30, 2019 with no long-term debt outstanding. On the cash management side, we maintained our targeted cash burn rate, utilizing $0.7 million of cash from continuing operations in the second quarter of 2019. I'll now turn the call back over to Lon for closing remarks. Lon?
Lon Bell: Thank you, Tim. To conclude, the B-TRAN division have made significant stride. Test results confirmed the following critical performance metrics. I’m repeating these because they are so important. Successful bidirectional operation with symmetrical performance in both directions, forward voltage drop for our B-TRAN dies was measured at .2 to .3 volts consistent with our model simulation. This value is substantially lower than the corresponding junction voltage drop of approximately .9 volts for an IGBT, and measured breakdown voltages for up to 1,200 volt, meeting a characteristic required for many commercial, industrial military applications such as electric vehicles, renewable energy, industrial automation equipment and datacenters. At the earliest opportunity looking forward to providing engineering samples for early adopters, including strategic customers and partners, both commercial and government. We do this as we accelerate along our commercial roadmap. We believe with our recent successes we’ve strategically positioned Ideal Power to deliver long-term shareholder value creation. At this time, I'd like to open-up the call to questions. Operator?
Operator: Thank you. [Operator Instructions] It appears there are no questions at this time. This concludes today’s -- actually just joined. Joe Vidich of Manalapan Oracle Advisers. Please go ahead.
Joseph Vidich: Yes. Thanks for taking my questions. I guess the first question I have is given that the power conversion deal didn't go through, do you have a revised forecast for cash burn for the next two quarter?
Tim Burns: So in that regard I think what we said in the prior quarter is probably largely still true. I think we said in our target, although I think we excluded discontinued ops with 0. $0.6 million to $0.7 million per quarter. If you look at our financial results that we released today, cash related to discontinued operations was, I don’t remember the number, it was a less than $60,000 for the second quarter. So that is, I guess additive to what were targeted from continuing operations, but we don't expected to have a significant impact and we are obviously looking to other alternatives for the PPSA business.
Joseph Vidich: Right. Now in terms of legal fees, I mean, just wondering if there's -- if you think you’re going to be subject to potential legal fees in fighting the -- making sure the deal gets done and not with the company that is supposed to buy it.
Lon Bell: Yes, so there definitely will be some duplication of deal costs. So we obviously incurred legal fees that flow through our financial statements here largely in the second quarter related to the deal with PATHION that do not close. As we look forward with other potential acquirers, we will incur some duplicative we will be able to leverage some of the things that we did on the prior deal. Obviously the agreements we believe are very strong and actually working in our favor in terms of the ongoing litigation with PATHION, but we will be able to leverage some of those expense to make sure there will be some additional legal expense incurred.
Joseph Vidich: Okay. One of the things that’s kind of interesting recently is guys like [indiscernible] and Solar Edge, their inverter businesses have really taken off and I understand you’re -- you sort of stopped your sales effort, but have you seen a greater interest in that division over the past quarter? I mean, it seems like there's a lot more going on in the field right now.
Lon Bell: I think that while there's interest, I think that the particular market factor that we position the PPSA has been slow to develop. We expect and we certainly believe that the asset has considerable value, but we also believe that it takes the company other than our self to realize that value. So while we think that for us there is the potential value creation it is through selling the asset to a company that we can continue or not, a smaller way to participate in, but to focus -- absolutely focused on our B-TRAN asset.
Joseph Vidich: Sure. That’s totally understandable. And I don’t know if you can just highlight a little bit what sort of the interest you’re seeing in the B-TRAN, if there's any. Any more clarity you could give as to what types of companies are -- you’re potentially talking to?
Lon Bell: Dan.
Dan Brdar: Yes. For us, really the interest comes particularly as we start to probably some of the results of the testing that we done we start to engage with partners, we have found that for some of the things that we want to go do for pursuing government funding for example, we’ve had good success finding some very credible partners who want to engage with us in those proposal efforts because of the fact that B-TRAN has these capabilities that are enabling for the opportunities that we are going after. So I think as we do more of that work and I think as we get our engineering samples out there and we start to update some of the publicly available information on our test results, I think that’s going to drive some considerable interest there, because it's a level of performance that you just can't achieve through any other kind of a silicon device. And particularly as people are looking at the development work that’s going on in [indiscernible] materials like silicon carbide, B-TRAN is an architecture. So it can migrate over time from silicon to silicon carbide and bring the same kind of performance. So I think it's something that particularly for those that are in the space really understand power semiconductor technology. They see there's not just a near-term benefit, but a long-term opportunity that really makes them want to learn more about the technology and participate with us in its development.
Joseph Vidich: Okay. Now are you guys planning on approaching other power semiconductor company, or have you approached other?
Dan Brdar: We’ve actually have some projects. The -- if you think about that space and how you bring a solution to that space, it's -- it wouldn't be the best strategy for us to try and compete with Infineon or ON Semi, I mean there's a huge infrastructure that’s built there have the ability to make and support product. It's really going to be a function of proving the technology out collaborating with some others on its development and unlikely licensing it to either people that have the ability to have it made or that are already in the semiconductor space, because that’s going to be the fastest way to get it into the market and really leverage a lot of the investments that’s already been made and the ability to make devices and packages.
Joseph Vidich: Sure. Okay. That’s basically all I have. Good luck with at all. Really hope that, I guess it's really a question of getting the device out there and the people who are going to be testing it in their hands.
Dan Brdar: Yes, agree.
Joseph Vidich: Okay. That’s all I got.
Tim Burns: Thanks, Joe.
Operator: [Operator Instructions] It appears there are no further questions. This concludes today’s call. Thank you for your participation. You may now disconnect.